Operator: Good morning or good afternoon. Welcome to Swiss Re’s First Quarter 2025 Key Financial Data Conference Call. Please note that today's conference call is being recorded. At this time, I would like to turn the conference over to Andreas Berger, Group CEO. Please go ahead.
Andreas Berger: Thank you very much, and good morning or good afternoon to all of you. I appreciate you taking the time to join us today. Before our Group CFO -- our new Group CFO actually for his first time Anders Malmström walks you through the details of our Q1 results, I'd like to start with some brief introductory remarks. We have achieved a good start to the year, delivering a first quarter net income of $1.3 billion and a return on equity of 22%. All business units contributed to this result, also helped by strong investment returns. And this gives us a very good base as we approach the rest of the year. Our financial results were achieved against the backdrop of a quarter that featured significant large losses on the P&C side. Across P&C Re and Corporate Solutions, large losses amounted to $900 million with the LA wildfires contributing around two-thirds of that total number, consistent with the preliminary estimate of below $700 million we provided to you with our full year results in February this year. Large man-made claims totaled $300 million in the quarter, which is above average. Despite these impacts, P&C Re and Corporate Solutions produced resilient bottom line results, which also include positive nominal reserving result of just below $200 million. This is a clear sign of increased resilience. And that's exactly what we strive for. I'm happy with the outcome off of the April renewals in P&C Re. The results are consistent with those of the January renewals. Year-to-date we have achieved 6% volume growth, while the net price change of a modest negative 1.5% is supportive of our 2025 targets and reflects the overall discipline that we continue to maintain. When you combine volume and price developments, P&C Re's new business CSM of $1.4 billion in the first quarter is unchanged from the same period a year ago. That's a very solid outcome, and we will look to maintain this as we approach the important mid-year renewals. To stress again, we have no top line targets. The focus is entirely on maintaining healthy risk adjusted margins and a high quality portfolio. Life and Health Re produced a solid start to the year. The $439 million net income is just above the pro rata target requirement of $400 million and reflects slightly positive overall claims experience, which is a good sign. We're also making progress on costs. Our admin costs for the quarter are in line with the cost ambitions outlined during our investor event in December last year. Accordingly, we're on track to reduce our cost run rate by at least $100 million this year, contributing to the overall target of $300 million by 2027. We are confident, but also vigilant as we look ahead. Priority number one is to deliver on our targets and we're in a good place to do that. But we see lots of risks out there and overall volatility has been high in the past weeks. The macroeconomic environment remains uncertain and while we're not directly impacted by the ongoing tariff situation, we are watching very closely for related effects, for example, by increased inflation risks. This is where prudent underwriting is absolute key. Our overall portfolio strategy are focused on setting prudent initial aspects and the additional layer of the uncertainty load we apply on your business or contribute to the increased resilience of our earnings power. And with that, I'm happy to hand over to you Anders, our Group CFO. Thank you.
Anders Malmstrom: Thank you, Andreas. And again, good afternoon or good morning to everybody on the call. I will make a few remarks on the results we released this morning before we go to the Q&A session. Andreas has taken you through the highlights of our overall positive first quarter. Let me add a few further details. On revenues, the group's insurance revenue amounted to $10.4 billion in the first quarter, down from $11.7 billion last year. There are few exceptional moving parts here. Last year's Q1 revenues included non-recurring IFRS transition effects, primarily related to profit commissions, which were recorded in both revenues and expenses with no impact on the insurance service results. In the subsequent quarters, we refined our methodology by netting these amounts, reducing both revenues and expenses equally since they involve the same counterparties. Another component is in Life and Health Re, one that we flagged last year. This related to the termination of an external retrocession transaction with no bottom line impact. On top, we have seen negative FX impacts this quarter across our businesses. So on a like-for-like basis, revenues are broadly flat at the group level, up around 1% to 2% in Life and Health Re, up around 4% to 5% in Corporate Solutions, and a low single digit decline in P&C Re. For the rest of the year, we would expect stable revenues compared to 2024. Earnings are what matter, and we continue to see good resilience here. Despite some pressure on rates across our P&C businesses, the new business CSM production of the group remained very healthy at $1.7 billion in Q1, down only marginally from last year's $1.8 billion figure. Let me move on to the insurance service result of our businesses. In P&C Re, you will notice a decline in the Q1 CSM release versus last year's period. The $710 million release this year is down from last year's $953 million. This decrease was driven by the earn through of prudent initial loss picks, including impact of new business uncertainty allowance and slightly lower margins. Experience variant and other, as we call it, and which includes all variances relative to initial reserving assumptions, amounted to a negative $140 million in the quarter. This reflects total large nat cat losses of $570 million, whereof $537 million related to the Los Angeles wildfires, which is well above the Q1 seasonal budget of $360 million. P&C Re also booked large man-made claims of $140 million. And while we do not publish an explicit budget for large man-made claims, this amount is higher than what we would normally expect to see in an average quarter. The negative variance on large claims was partially offset by a positive prior year result. Nominal reserve releases in P&C Re amounted to slightly below $150 million in the quarter. This reflects the overall strength of our reserving position. And to the extent the uncertainty load is not required, this is where you see the benefits. In terms of the combined ratio, P&C Re’s Q1 result of 86% is just above the less than 85% target we have for the year, but there is ample time to catch up. Moving on to Corporate Solutions, The Q1 CSM release of $196 million is in line with the average of the last quarters, indicating stable absolute margins. The decline compared to last year is driven by some IFRS transition impact in Q1 2024. Experience variance and other was positive at $36 million. This reflects a positive prior year reserving result, partially offset by higher than expected man-made claims, which amounted to a significant $150 million in the quarter. And as usual, an allowance for potential claims seasonality due to late reporting. Large nat cat claims of $60 million were driven by the LA wildfire loss of $50 million. Corporate Solutions 88.4% Q1 combined ratio compares to our target of less than 91% for the full year, so clearly a good start. And finally, Life and Health Re, the Q1 CSM release of $432 million is broadly in line with last year's Q1 number and slightly ahead of what we would expect in a normal quarter. Experience variance and other amounted to a negative $91 million, which largely reflects targeted assumption updates we undertook on onerous business and some volume updates. Overall claims experience, also in mortality, was slightly positive. Life and Health Re's net income of $439 million, as Andreas already mentioned, is just above the pro rata $400 million share of our $1.6 billion full year target. So also here a solid start. We benefited from strong investment results with the ROI of 4.4% well ahead of last year's 4.0%. A large part of the increase is due to the realized gains we achieved on the sale of our definitive stake, which was partially offset by targeted sales of fixed income securities. Recurring income remained healthy, standing at $1 billion in Q1. We also benefited from a favorable tax rate in the quarter of 14%, which was well below our normalized 21% to 23% expectation. We benefited from some legal entity restructuring effects, partially related to iptiQ. You should obviously not expect this to recur. A few words on capital. We estimate the group's SST ratio at 254% for Q1, broadly unchanged from where we ended the year. Additionally, we also announced this morning that we plan to cancel 18.7 million of surplus treasury shares which are not eligible for dividends out of 317.5 million total shares. As a result, upon completion by the end of Q2, the total number of shares will be 298.8 million, of which about 294.8 million shares outstanding, so eligible for dividends. And about 4 million treasury shares held primarily for share-based compensation plan. This exercise is just for good housekeeping as these treasury shares are clearly surplus to current needs. That's where I will leave it for now and I'm happy to hand over to Thomas to kick off the Q&A.
Thomas Bohun: Thank you, Andreas. Thank you, Anders. Before we start, if I could remind you, as always, to limit yourself to two questions, and then rejoin the queue should you have any additional questions. With that, operator, could we please have the first question?
Operator: The first question comes from the line of Mr. Kamran Hossain from JPMorgan. Please go ahead.
Kamran Hossain: Hi. Good afternoon. A couple of questions for me. The first one is on the -- I guess, on the reserve release. I think it's just really interested in kind of [indiscernible]. I mean, I guess last year towards the end of the year, you took quite a big reserve charge. There was a debate at the time whether, you were being too cautious and not assuming reserve releases. And we kind of sit here in Q1, and there has been a reasonable size reserve release in the quarter. Just trying to understand whether this is kind of -- this is a reflection of all the hard work that's gone on. So actually, things like this could be more normal going forward. Or whether this is -- there's a little bit of volatility in the course with LA being a particular issue, and therefore you thought it was a good time to offset some of that volatility with a reserve release. The second question is on the revenue point. So you've been at a reasonable kind of area of discussion this morning. Could you just clarify whether the -- you said you're stable revenue compared to 2024. Just to clarify that's relative to Q2 to Q4 should be stable versus 2024? Thank you.
Andreas Berger: I'll give it to Anders on the reserves and revenue, and I’ll chime in if I have to add something.
Anders Malmstrom: Okay, so let's start with the reserve release. And I think, with the comment you're remembering in Q3, when we took the big reserve adjustment, I think at that time, I think we said that going forward, we assume kind of neutral reserve and development going forward. I think you saw now in Q4 and in Q1 that we actually had a reserve release. I think that's, in my view, a very, very good development, because I think this shows the resilience of the reserves. I think right now we would still guide to a neutral development, but I think we will show over time that, I think, the reserves are resilient and I think as expected because of the higher loss pick and the uncertainty load that reserves should come through everything else equally. So yes, I think we're comfortable with the position and going forward we should see a similar development. On the revenues, so as we said in the prepared remarks, the Q1 is clearly, in a way, the peak of the decline, which is really all non-bottom line relevant because you have the IFRS transition effect of about $0.55 billion. That was due to the commission, the profit commissions that we took a gross view and we changed to a net view. So that was a revision of the methodology. So that should not reoccur going forward. Then we had, as I mentioned, the Life and Health side. We had the external retro transaction that we terminated. This is also about $0.4 billion reduction. That was a Q1 event. And then we had FX of about $0.2 billion. So if you take all of that out, I think that's what I mentioned. You already see that we're pretty much flat. And we would also then expect going forward that compared to -- Q2 to Q4 compared to last year, we should be in a very similar range. So we shouldn't see this one time. So this is really one time in nature.
Thomas Bohun: Thank you, Kamran. Could we have the next question, please?
Operator: The next question comes from Andrew Baker from Goldman Sachs. Please go ahead.
Andrew Baker: Great. Thank you for taking my questions. The first one on the Life and Health CSM release was a little bit higher than your guidance. Are you able to give any color on what drove this, and really how we should think about the CSM release relative to your guidance going forward? And then secondly, just on Corporate Solutions, are you able to break out the experience variances by the favorable underlying performance, PYD, and large loss that you called out in the slides? Thank you.
Andreas Berger: So Life and Health Re, Anders you might take it as well, and Corporate Solutions, I can add if necessary.
Anders Malmstrom: Yeah, so [indiscernible] just the CSM release that we saw in Q1 was, as I mentioned, was slightly ahead of what you would expect in normal quarter. I think we would call that volatility. That's not a trend. I think we guide it to an average of 8% of CSM release. I think that's what you should expect going forward. So that's more volatility. Maybe Thomas here.
Andreas Berger: Andrew, could you just repeat the second question for Anders?
Kamran Hossain: The experience variances, you call out it's a blend of favorable underlying performance, PYD, and large loss experience. Just trying to get a view of how much really the favorable PYD was?
Anders Malmstrom: So the positive nominal of course was I think below $50 million, slightly below $50 million coming from last year’s experience and then we had the significant large man-made experience of I think about $150 million for the Group.
Thomas Bohun: Thank you, Andrew. Could we have the next question please?
Operator: The next question comes from Will Hardcastle from UBS. Please go ahead.
Will Hardcastle: Thanks very much. I guess the first one's a big picture one. Anders, you've now been inside the group for a number of months [indiscernible] as CFO. Are you able to give us any insights as to what's been surprising, maybe both positively and negatively? The second one is just a bit more detail on the Life and Health experience please. I guess we've gone through a bit of an exercise and just wondering if any of this related to stuff that has been -- action has been taken on or what's driven the further deterioration or is it completely separate? Thank you.
Anders Malmstrom: Yes, sure. Happy to do so. Look I mean I think I'm now here for a few months, I think overall very positive. I think you see it coming also through the results, resilient results. I think the company is well on track. I mean, obviously, no [indiscernible] since a very long time from the outside, now being in the inside, very dedicated people, passionate people, I think all want to do the right thing and I'm actually very happy to be here and to support that. I think we're on the right track. I think you see that coming through with the results. And yes, I think we're up for a good journey here together. And on the Life and Health experience, as we mentioned, overall, I think positive. I mentioned mortality, in particular, you can also -- US mortality, which was positive for the court. So we have some small adjustments in EMEA, they're all assumption driven. So they're not claims driven, they're assumption driven, and also volume driven. We get some volume up takes, so nothing concerning there.
Thomas Bohun: Thank you, Will. Could we have the next question please?
Operator: The next question comes from Iain Pearce from BNP Paribas Exane. Please go ahead.
Iain Pearce: Hi, afternoon, everyone. Thanks for takes my questions. A couple just on the P&C new business. So just clarification on this revenue point in CSM. Do you expect new business CSM and P&C Re, to grow this year, is the first question. And then the second one is just on the property business. So not the net cat, but the property business has been driving the growth in P&C Re. Could you just talk about what you're seeing in terms of pricing on that line? Just sort of a bit more detailed by the sort of individual lines of business what you're seeing in terms of risk adjusted pricing? Thank you.
Andreas Berger: Maybe I should start with the second one. And then you can take the first on the P&C and new business CSM. And what do we see in the markets? I mean, you've seen in our numbers that property was the positive outlier. We had a double digit growth, plus 24% volume change in contrast then to casualty. And that's exactly in line with our strategy. We were further reducing our market share on the US casualty side. We see rate increases. I mean, we're not stopping underwriting casualty. We see significant rate increases in the US, also in casualty. Property and nat cat are the ones where we see -- well, tougher competitive environments. But I can say that it's still in a very healthy space. The good thing is that, those structures, terms and conditions, attachment points are very stable and that is very helpful. So we're still in a high margin territory. Property in particular found good increases territorially. It's not only the US, it's mainly also Europe where we saw some significant increases. And cat, we have seen increased demand for cat capacity and also property, but cat in particular. And we see that as a trend, there were significant losses this year, right at the beginning. So that was probably the heaviest loss quarter in the history. There are different voices in the market. Some say there's still a very continued competitive environment, others say the losses had to be absorbed. So large parts of the lost budgets, the nat cut budgets were already consumed which will definitely have an impact on the next renewal upcoming in 1 June and 1 July. These in itself, they made 20% of the renewal business for our book. So that's the trend we see and you can compare those then with the markets, but property, positive. Specialty, positive, cautious in casualty, rate increases for renewed business, but reducing market share that should be the summary.
Anders Malmstrom: Okay then quickly over to the new business CSM that we have seen or your question is also kind of going forward. So first of all, I think you've seen that even in light of what Andreas just said, you saw that the new business CSM basically stayed flat year-over-year for the general renewals, I think, which is a very positive outcome. You should see going forward, we put a lot of emphasis on both [indiscernible] so you should see that CSM remains strong. I think one point I would like to mention here is, also on the uncertainty allowance that goes into the new business CSM. That was obviously a reduction from the past, but over time you should see that now coming through then to the underlying experience. I think that's actually a good thing that you will see a more conservative reserving assumption upfront, which is reflected in the CSM, but then you will see it through the experience -- through the experience actually coming through on the bottom line.
Thomas Bohun: Thank you, Iain. Could we have the next question, please?
Operator: The next question comes from Michael Huttner from Berenberg. Please go ahead.
Michael Huttner: Fantastic. Thank you. I had two questions which I'm afraid I'm going to contradict you. The first one is, have I missed something? Did you raise your guidance? Because you did $1,275 million for Q1. If I multiply by four, I get $5.1 million. And if I add in all the various one-offs, tax, reserve releases, gains, higher than normal losses and then the extra reserve in life. I get to pretty much a zero number. So, the $$1,275 million for me is actually a run rate. So, I just wondered whether you can explain -- maybe you don't have -- you never change guidance, I don't know how you would see it relative. And then the second question, that's a contradictory. [Zurich] (ph) in their call last week, the week before, said they'd bought an aggregate. That for me is a clear sign of market softening. And then this morning [Unipoll] (ph) said the same but they were very specific. They said it's basically to protect earnings against mid-sized events. And then, of course, I think, Monday or Tuesday [Conduit] (ph) said the same. They also bought aggregate cover now. For me, these are clear signs of markets softening. And so I'm interested by your comment, but you say no, terms and conditions haven't changed. Thank you.
Andreas Berger: Thank you very much, Michael. I would give the second question to Anders. Let me take the first question. I think nothing has changed for us. We always said we have two objectives. Number one, hit our numbers. So we will hit our numbers, meaning the target that we put out. Number two, increase the resilience of the group. We're on a very good trajectory. We feel very comfortable with where we are. We took some decisive actions and now it's on delivering quarter-by-quarter-by-quarter just to get that confidence that this is a resilient business. So don't look at it as a run rate. So we came out in December in our management dialogue on the December 13th. We gave you the outlook. We said that with the reserve strengthening in Q3, we now can show the underlying earnings power of the group. We also said that we stay vigilant. It's a very tough environment out there, and we manage very diligently quarter-by-quarter. So what we said is still holding, and we're confident that we're meeting our targets.
Anders Malmstrom: Yeah, and then we go to the second question. Maybe when I look at the April renewals as a starting point, I think you saw that we basically were able to broadly defend the margins. But what was equally important, which you don't see in the numbers is that, we were also able to maintain the structures and the terms and conditions. They were basically -- they stayed largely unchanged, which I think is a very good outcome here. And also when it comes to aggregates, I mean, that's an area that we're extremely cautious and yet we stay very firm here to maintain the [indiscernible].
Thomas Bohun: Thank you, Michael. Could we have the next question, please?
Operator: The next question comes from Ivan Bokhmat from Barclays. Please go ahead.
Ivan Bokhmat: Hi, good afternoon. Thank you very much. The first question would be just a little follow-up Andreas, on what you've said on the new business CSM. I think you mentioned that the prudency buffer dampened the performance year-on-year. But I'm a little confused because I thought it was already implemented from Q4 2023. Therefore, the year-on-year impact shouldn't have been that visible. Maybe you could expand on that point. And then I have two other questions, if I may please. One, could you perhaps talk about the sensitivity of your earnings to the currency movement? Because you have on one hand Swiss franc costs, on the other hand, of course, weak dollar might help top line. And the third point, I mean considering that we were talking about insurance revenues on P&C probably down a little bit year-on-year. I'm just wondering if that carries any implications for the growth and the capital requirement? How should we think about your capital generation? Because clearly ROE remains very strong. Does it mean you'll generate more capital than we think this year? Thanks.
Andreas Berger: Okay, maybe just to clarify on the first one, you're absolutely right. I mean, the uncertainty allowance was already built into the new business CSM a year ago, so that's why I said it remains stable. I think the benefit of it is coming through now, didn't come through before, because remember what got released last year was CSM from the previous year. So I think that was a bit more -- I think the point there, but you're absolutely right. On the insurance revenues, the FX, the currency sensitivity, I think you're right. Look, I think we are a U.S. dollar company. We generate about 50% of our business in U.S. dollars, because that's the U.S. exposure. The rest is spread on various currencies. Swiss franc exposure is mostly through expenses, that’s on a relative basis small when you look at the total claims expense. So net-net a weaker dollar is actually positive for Swiss Re. And so I think we -- yes, for us this is fine. And one point I would like to mention here as well is when it comes to liabilities and assets, we keep them at the same currency, really match the currency so that we don't have a currency exposure there. But overall, a weaker dollar is obviously a slight tailwind for Swiss Re. And then I think your last point was on capital generation relative to, call it, lower insurance revenues. The first point I would make is, lower revenues doesn't mean lower profit, as we mentioned before. I think you see that the overall results are strong and not impacted by the lower revenues and by that I think you should not see an impact on capital. I mean capital really is an outcome of the earnings generation. So that should be strong also going forward.
Thomas Bohun: Thank you, Ivan. Could we have the next question, please?
Operator: The next question comes from James Shuck from Cit. Please go ahead.
James Shuck: Hi, good afternoon. I'll try and get my Anders and my Andreas around. I think Anders, I just want to ask about the revenue and the netting off of the profit commission again. It seems to only impact Q1 from what you're saying and no impact to the rest of the year. But I guess, if you're netting them off, then it's essentially like 100% combined ratio in the P&C Re division. And I'm thinking about what your guidance was for the combined ratio for full year, so below 85% versus below 87%, which was the target for the prior year, so 2 points of improvement. Is there any impact from this accounting reclassification in the year-on-year change and is it already in that below 85% target? So that's my first question. Secondly, for Andreas, obviously it's a cyclical business property reinsurance and nat cap reinsurance in particular. A number of peers, if you like, primary and other insurers, are putting good store on the ability to compound earnings growth even through a soft cycle. I'm interested to hear what levers you've got to be able to manage your net income, not so much EPS because we all know you've got a lot of capital, but in terms of actual net income, how you can actually manage that through a soft cycle and what ability you've got to compound earnings as rates come off? Thank you.
Anders Malmstrom: Yeah, maybe we start with the first question on the revenues versus also combined ratio and maybe again just to reiterate, we see the biggest impact year-over-year in Q1. And as I mentioned in the remarks, for the remainder of the year we would see a very muted impact because we changed the methodology during the year. So it's not 100% in Q1, but the majority is in Q1. I think to your combined ratio question, yes, of course. I mean, this mathematically goes straight into the combined ratio, but this is reflected in our planning. So this is also something that we already -- when we did the guidance, I think we obviously were aware of and then have built in already.
Thomas Bohun: On your second question around cyclicality of certain lines of businesses and then how can we ensure that net income is sort of secured. As a matter of principle, when we do cycle management, we look at the current portfolio composition and then we do a five-year forward-looking approach, assuming certain scenarios around rate developments. Depending on in which lines of business you’re playing in your portfolio, there are various cycles. Admittedly, property is a very competitive market. And there, we can say that we are pretty large in property as far as our portfolio is concerned. And then to offset this, we look at a portfolio composition and growth areas that are re-correlated with the property cycle, rating cycle. So that's point number one. So that means growth specifically in certain areas that are healthy and not correlated. And we have mentioned a few lines of businesses in the past, and I could mention again specialty lines, but also credit [indiscernible] in certain aspects, and accident and health and so on. So should we then reduce the property portfolio because the rates are falling into areas where we feel that they're not adequate, then obviously you end up with a cost issue and with stranded costs, etc. So in order to address this, we have taken measures in all parts of the businesses to now continuously and proactively look at also our cost position. So admittedly, yes, there are certain fixed costs that you're stuck with when a property portfolio goes down, but it will also rebound again. But my successor at the CorSo CEO position, he has taken a very proactive approach by streamlining the structures and at the record high level, 19th consecutive quarter of consensus speed. That was the time when he said, now is the time to really prepare for maybe times that might be a bit more difficult. So cost is becoming a strategic lever, and we're building this in very systematically at overhead level group, overhead level, but also within the businesses. So I'm very satisfied with the progress made in this chapter as well.
Thomas Bohun: Thank you, James. Could we have the next question, please?
Operator: The next question comes from Shanti Kang from Bank of America. Please go ahead.
Shanti Kang: Hi. Thanks for taking my question. So the first one is just on CorSo, which obviously delivered a very strong combined ratio at 88.4% this quarter, and that's tracking well below your 91% or lower guidance. So I was just curious how sustainable the current margin levels are in the light of the softening rate environment, and whether or not you're seeing different rate softening impacts at CorSo level than perhaps on the reinsurance side. So just any information on that. And then my second question is more generally about the US liability market. You might have seen that [Chubb] (ph) has recently put pressure on market participants to reduce direct or indirect exposure to litigation financing. And I was just curious to hear your view on that if you think that's the right approach. And perhaps Anders, your predecessor was quite focused on actions coming from the primaries to shift conditions in US liability first in lines that are subject to social inflation. So I was just curious to get your view while you come in.
Andreas Berger: Okay, thank you very much Shanti. Maybe I'll start and then Anders, if you have something to add please welcome. On the CorSo pricing levels and the sustainability of pricing levels. It depends really in which markets you are. And if you have loss prone accounts, then obviously this has to be taken into consideration. So we take it case by case almost. And we recognize the risk profile of insurance, like we also do on the reinsurance side. So, good risk management, proper risk profile has always been recognized. Now, having said that, on property and cat in particular, pricing levels are at a healthy level and I think this is also here to stay. Yes, it is competitive and we might see maybe rate reductions, but again here structures are very important. We see a trend that insurers in particular at the corporate space are taking premium out of the market, the insurance, the value chain and are self-insuring more and more, so that means captives are becoming more important. But again, here that's a sweet spot for Corporate Solutions. That's where we are market leading in tools like parametric solutions and captives solutions in our [indiscernible]. So rate increase you will definitely see in casualty but you know that we have a very prudent stance on casualty, because we still believe it's not reflecting the exposures really that we carry, which leads me then to your second question, US liability. Yes, we have always said that with the changed terms and conditions and particular attachment levels, I think it's the prime insurance companies who have to think about how to deal with this in particular relationship to their insurance. I welcome any constructive effort to address the abusive tort system. That's something that we've been very vocal about this. We published the Swiss Re Institute publication last year on this. If Chubb in particular made this effort, I can only applaud them. I hope this will have positive impact and maybe create a constructive discussion environment which leads then to bring liability back to where it should be in the sense of insurability and not only affordability but actually insurability in the US. So I am applauding Evan Greenberg for that.
Thomas Bohun: Thank you, Shanti. Could we have the next question, please?
Operator: The next question comes from Faizan Lakhani from HSBC. Please go ahead.
Faizan Lakhani: Hi, there. Thank you for taking my questions. The first one is on the P&C Re combined ratio. Within that, you've had favorable nets prior development. I want to understand, A, how much of that is simply the roll-off of the new business uncertainty allowance? And secondly, within that big picture, how willing are you to release PYD in quarters where large losses exceed your budget or is this fairly mechanical? And the second question is on insurance revenue. You provided a sort of steer in terms of what the underlying revenue growth was in P&C Re. Just thinking out to 2026, given the fact that new business CSM is flat to slightly down, should we assume the insurance revenue growth for next year should be flat to slightly down as well? Thank you.
Anders Malmstrom: Yes, let me start with the first one on the P&C Re question, combined ratio question, reserve release question. I think what you will see and what you should see is, that through the, let’s called it, more conservative approach with the initial loss pick and the uncertainty load. As time goes by, I think you should see everything else equal a reserve release. And this is an approach that would be very natural. Obviously in a year that you have a higher and above average claim, well you see the offset for that. I mean you would have to claim, you would have to do corresponding reserves. But in the long run, you will see that the reserves from the more prudent approach at the beginning will release. Now, can I allocate the dollar to uncertainty load versus prudent loss pick? No, I cannot. I think you will see that this will come through over time. So I think that's the approach. I think that shows then the resilience of the company. I think the second question was on the growth [Multiple Speakers]
Andreas Berger: Yes, maybe I can take that, which comes back to the basic statement that we always made that we're not steering for revenues for top line. That's very, very important fundamental. But having said that, and I can come back to the [indiscernible] liability portfolio approach. There we definitely identify growth areas, focus growth areas. We don't want to be everything to everyone. We're steering for bottom line, and we're steering for resilient portfolios. But at the same time, we analyze also in which markets do we have market leading positions. And obviously, we would like to protect the market leading position, which means based on the technical excellence in underwriting, you will also look for opportunities to expand. We have enough capacity to deploy into attractive areas. And that's exactly what we do with the [TLP] (ph). And you will see that we grow in certain areas in very specific focused manner. And I can, again, now mention the same lines of businesses that we have been mentioning all along, certain specialty lines in particular. But I also am a believer in cat. Nat cat, we are a leading capacity provider in nat cat. We tend to say always volatility is a friend, because we manage volatility and we help insurers who can actually not carry the volatility. That's where we want to deploy our capacity, where it makes sense and where both parties benefit from it. But I can't ever see, look into the crystal ball and give you a 2026 number.
Thomas Bohun: Thank you, Faizan. Could we have the next question, please?
Operator: The next question comes from Vinit Malhotra from Mediobanca. Please go ahead.
Vinit Malhotra: Yes, good afternoon. Thank you. So I would like to ask two questions. One on P&C Re top line, one on Corporate Solutions manmade, and one follow up on the inflation risk pointed out by Andreas. So on the top line, just to clarify -- I mean, I've heard your answer a few times. I'm just trying to think that, are you suggesting that despite this quite visible top line effect, the technical result outlook should be unchanged? So in other words, the combined ratio would have been better than what people might have expected before. And I mean, I know you answered a few times, but just -- I mean, if we did look at the rest of the year P&C Re being flat, we would get to about 8% below consensus, P&C Re revenue for the year. So obviously to get the mathematical, very simplistic sense, we have to ensure that combined ratio, we have to hope combined ratio getting better. So that's a very simple answer of what I'm hoping to get. The second thing is on the man-made, which in the past, various occasions, various insurers will usually tell the market that there is no patterns here. And is it a safe assumption as well for your man-made losses, which were quite materially above here in CorSo? I'm just looking for the same confirmation really. And lastly, Andreas, just to check, you did say a few times that the environment is very uncertain or very -- and inflation risks are there. I'm just wondering how big is this in your mind for what you can see today or is it just a flag that you want us to be aware of? Thank you.
Andreas Berger: Okay, on the P&C Re side, for your first statement, yes, you're correct. For the second statement, I wouldn't go there so far. That's correct, your statement, but we said we want to meet our targets. We set out the targets and we also said that we're confident that we will achieve the full year 2025 targets and that includes all the relevant KPIs that we put out there, the combined ratio for P&C as we mentioned. On Corporate Solutions, on the man-made. Well, there is no such thing as a normal pattern that you can see. You may be finding some correlations depending on the economic cycle, the macroeconomic cycle and situations you find in certain industries. But this is a volatile book, and we manage volatility, and we make provisions for that. And sometimes you have more activity beginning of the year, which doesn't mean that the notifications are coming in at the beginning of the year. Very often you find exactly in very complex insured corporate structures reporting lines, your reporting are late and then before the year end closes then suddenly you will find people, companies reporting the losses in December. That's why we also thought about this seasonality effect that we built into the prudency also. So no real pattern. Does it make us nervous? No, it doesn't, because those are very normal losses, underwriting was good, these things happen. On the third one, around the uncertainty that I was just mentioning. Look, that's no secret. It's fluid out there. And just take the topic of terrors. What can you really rely upon? It is changing every week basically, and maybe even every day or so. The point is, we need to anticipate almost and be quick in reflecting all these changes in our models, in our views and how do we see our portfolio. We've got a task force working on it and every new information is put into our models and then into our scenario planning. We cannot change our assumptions every week, so that's why we feel we're well equipped, we're not getting nervous, we don't see a direct impact of, for instance, tariff changes, but there is definitely an indirect impact coming through inflation, for instance. That would have to be reflected into our costing ultimately. So that's how we look at these things. We have, as I always say, strategic patients. We don't have to panic.
Anders Malmstrom: And Vinit, specifically on the man-made losses in Q1 for CorSo, the long-term average in P&C Re per quarter is about $75 million. That's a good starting point for CorSo as well. Even though as Andreas said, it's very volatile per quarter. So clearly Q1 was above.
Thomas Bohun: Operator, do we have any more questions?
Operator: There are no more questions from the phone.
Thomas Bohun: With that, thank you for your questions. Thank you for your interest. Should there be any questions after this call, please do not hesitate to contact any member of the IR team. Thanks again and have a nice weekend.
A - Andreas Berger: Thank you.
A - Anders Malmstrom: Thank you.
Operator: Thank you all for your participation. You may now disconnect.